Operator: Good morning, and welcome to Newmont's Third Quarter 2021 Earnings Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to Tom Palmer, President and Chief Executive Officer. Please go ahead.
Tom Palmer: Good morning, and thank you for joining Newmont's Third Quarter 2021 Earnings Call. Today, I'm joined by Rob Atkinson and Nancy Buese, along with other members of our executive team, and we will be available to answer questions at the end of the call. Before I begin, please note our cautionary statement and refer to our SEC filings, which can be found on our website. Newmont delivered on a challenging third quarter, generating strong free cash flow, continuing to provide industry-leading shareholder returns, and investing in profitable projects, including our latest Ahafo North, which was approved by our board in July. This quarterly performance was achieved even as we continue to manage through the evolving complexities of the global pandemic, and we remain committed to protecting the health and well-being of our workforce and local communities. Throughout the mining sector, we are continuing to see the non-health-related challenges caused by the pandemic, including labor shortages, rising input costs, and supply chain disruptions. As an industry leader, Newmont is well-positioned to respond to these challenges by leveraging our proven operating model and balanced global portfolio to deliver long-term value from our responsibly managed assets. Turning to our quarterly results, let's take a look at the highlights. During the third quarter, Newmont produced 1.4 million ounces of gold and 315,000 gold equivalent ounces from copper, silver, lead, and zinc. We generated operating cash flow of $1.1 billion and strong free cash flow of $735 million, of which $715 million is attributable to Newmont. Supported by our clear strategic focus, we continue to apply a disciplined and balanced approach to a capital allocation priorities. With $7.6 billion in total liquidity, we have sustained a net debt-to-EBITDA ratio of 0.2 times, maintaining our financial flexibility, whilst we continue to reinvent in our business and return cash to our shareholders. Earlier this month, we announced the transition to a fully autonomous haulage fleet at Boddington, an important milestone for both Newmont and the gold industry as a whole. Our fleet of 36 trucks, with improved safety and productivity at this cornerstone asset. We also continue to invest in and develop our most profitable near-term projects, including Tanami Expansion 2, Ahafo North, the change to a more productive underground mining method at Ahafo South and Yanacocha Sulfides. This quarter, we completed nearly $100 million of opportunistic share repurchases at an average price under $56 per share, and we declared a third quarter dividend of $0.55 per share, resulting in a dividend yield of over 4%. Twelve months ago, we announced that our industry-leading dividend framework, establishing a clear pathway for stable and predictable returns. Over the last four quarters, Newmont has returned more than $2 billion to shareholders through dividends and share buybacks, demonstrating our confidence in the long-term value of our business and our ability to maintain financial flexibility while steadily reinvesting in our operations. At Newmont, we have created a robust and diverse portfolio of operations and projects around the globe, and we believe that we rechoose to operate matters. Among our 12 operating mines and 2 joint ventures, over 90% of our attributable gold production is from top tier jurisdictions, which we define as countries classified in the A&B ratings ranges by each of Moody's, S&P, and Fitch. Underpinning our asset base is the gold industry's best organic project pipeline of both greenfield and brownfield opportunities, managed through our integrated operating model with a proven track record of delivering value to all of our stakeholders. Newmont has maintained an unmatched and industry-leading project pipeline, laying the pathway to steady production and cash flow well into the 2040s. Every one of our operations has near mine exploration opportunities that can leverage our existing infrastructure and extend mine life. With the stability and depth of our brownfield portfolio, we are able to explore in some of the most prospective greenfield districts in the world in a disciplined and deliberate way. This quarter, we've continued to advance our near-term projects, including the second expansion at Tanami in Australia's Northern Territory. Through the development of a 1.6-kilometer deep production shaft and supporting infrastructure, this project supports the site's future as a long life and low-cost producer while providing a platform to further explore a prolific mineral endowment in the Tanami district. The development of Ahafo North, approved in July, this project expands our existing footprint in Ghana, adding more than 3 million ounces of gold production over on an initial 13-year mine life, and the Yanacocha Sulfides project, which will extend mine life at this cornerstone asset for decades to come. Newmont remains committed to the Yanacocha Sulfides project and will be investing at least $0.5 billion through 2022 to advance critical path activities, including detailed engineering, long lead procurement, earthworks, and the installation of accommodation facilities for the construction workforce. As previously announced, given the current status of the pandemic in Peru and the potential for more contagious variants, we have extended our full funds decision for the sulfides project to the second half of 2022 and will progress the project as the pandemic allows. Two weeks ago, I had the opportunity to visit Peru and engage with government leaders and other key stakeholders to talk about a safe and mutually beneficial path forward. I'm encouraged by these interactions and look forward to this next chapter, and let Yanacocha's long and profitable history. The global pandemic has and will continue to challenge all of us for some time to come. I'd like to take this opportunity to recognize the very significant efforts that are being applied at all of our operations to keep our workforce and local communities safe and healthy. As you can see in this photo, Rob had the opportunity to be at Ghana last quarter and experience firsthand the important work our team is doing to manage through the COVID pandemic with agility and resolve. In 2020 and 2021, Newmont has invested more $2.7 million for COVID relief and local support in Ghana, and $1.4 million in health screening and security measures to protect our people and their families. Through our partnership with Ghana Health and Education Services, these investments helped to: establish wide-ranging protocols and controls at both Ahafo and Akyem; distribute medical equipment and PPE at our mines, regional health facilities, and other regional institutions; to purchase PCR machines for effective testing and research; to donate cold storage units for temperature monitoring and vaccine storage; to raise awareness and share important health and safety messages through the local radio programs; and fundraiser programs that provide essential lesson plans for students during school closures. We're also focused on supporting the vaccination effort in Ghana and are working with the American Chamber of Commerce in Ghana and Ghana Health Services to secure and deploy nearly 100,000 vaccines in the area. At Newmont, we firmly believe that the COVID-19 vaccines are critical in combating the spread of a virus, and until global vaccination rates substantially improve, our people and operations will continue to be affected. We are now deliberately moving toward a position where ultimately, all of our global workforce will be fully vaccinated, and we are closely monitoring and adhering the national vaccination mandates already in place. We are taking this important step because we fundamentally believe that the vaccine is a critical part of supporting the recovery from a pandemic around the world. Since March of last year, our focus has been on operating responsibly and efficiently while protecting the health and safety of our workforce and local communities from this virus. Since the government imposed restrictions on movement and the ongoing application of COVID-related protocols, in addition to competitive labor markets in Canada and Australia, we continue to experience productivity impacts at many of our sites. Due to these impacts and some unexpected equipment reliability and weather-related challenges, we have decided to update our full year 2021 guidance. We now expect to produce approximately 6 million ounces of gold just below our original guidance range, and we are reaffirming our original guidance of 1.3 million gold equivalent ounces from copper, silver, lead, and zinc. Combined, 7.3 million gold equivalent ounces. The most of any Company in our industry and an improvement of almost 400,000 ounces compared to last year. Updates from our original gold production outlook are largely due to challenges at Boddington, Including unusually severe weather and heavy rainfall, shovel reliability, and operational delays associated with managing bench hygiene as mining moves into deeper sections of the pit. This was combined with the continued ramp-up of the autonomous haulage fleet as the site fine tunes this technology for operation in a deep open pit mine for the first time in the mining industry. As a result, Boddington delivered lower tonnes than expected, impacting our ability to reach high grades and reducing Boddington's full year gold production estimate by approximately 140,000 ounces. As Rob will discuss later, we remain very confident that the overall efficiencies delivered by autonomous haulage will more than offset any short-term impacts on production at Boddington this year. Also at Nevada Gold Mines, we are experiencing the consequences of the challenges noted by our operating partners in their release last week. Carlin and Cortez are expected to be at the low end of their annual guidance ranges, largely due to the impact of the breakdown and repairs to the mill at Carlin's Goldstrike roaster, and Turquoise Ridge is now expected to be below its annual guidance range. As a consequence, annual gold production from Nevada Gold Mines is expected to be at the low end of our annual guidance range. In addition to this, as I commented earlier, the global pandemic continues to evolve and impact all of operations. Tanami was placed into care and maintenance in late June and early July, and we are continuing to experience lower productivity as a result of COVID-related absenteeism and the tightening of the labor market in Canada. The impact from lower production volumes, coupled with higher mill prices, has also increased costs for the year. For 2021, gold cost applicable to sales are expected to be $790 per ounce, and all-in sustaining costs are expected to be a $1050 per ounce. It's important to note that our regional guidance was established using a $1200 gold price assumption, and we continue to use this assumption for our long-term mine planning and reserve modeling to ensure that we would maintain discipline across all of our operations. However, due to the sustained high gold process throughout this year and in response to feedback from the investor community, we are providing our updated full year cost outlook using an $1800 gold price assumption. We expect these gold process to continue through the fourth quarter, adding approximately $50 per ounce to our all-in sustaining costs from inflation, higher royalties, and production taxes. Finally, we are decreasing our development capital estimate from $850 million to $700 million, with a portion of our spending associated with the second expansion at Tanami moving into 2022, but not impacting project schedule. We're currently working to finalize our business plan for 2022, and today, we have a much better understanding of the impacts from the global pandemic than we need at this time last year. Looking ahead to 2022, we anticipate the production costs at an $1800 gold price assumption will be similar to this year. Gold production is expected to improve by around 5% compared to 2021 as we continue to manage the impacts from pandemic related labor shortages on productivity across our operations. CAS and AISC per ounce are expected to be largely in line with 2021, as we're building increased cost from inflation, high metal prices, and ongoing COVID-related safety protocols into our assumptions going forward. Capital in 2022 remains unchanged from our original outlook as we enter a period of significant reinvestment, an important component in growing production, improving margins, and extending mine life. These reinvestment back into our business will enable Newmont to steadily increase production and improve costs over time from our portfolio of world-class long-life operations. We look forward to providing you additional detail on our long-term outlook in our annual guidance webcast in early December. With that, I'll turn it over to Rob for a more detailed look at our global projects and operations. Over to you, Rob.
Rob Atkinson: Thank you, Tom, and good morning. As Tom mentioned, the pandemic continues to present challenges across our operations and joint ventures, and I am proud of our people who continues to safely deliver day in, day out. While COVID infection rates are declining and vaccination rates are improving near our operations, the knock-on effect from supply chain disruptions and tightening labor markets is creating new complexities to manage. There is increased pressure on input commodity prices such as steel and diesel in addition to unpredictable freight costs and timing of deliveries. As an example, digital costs have increased significantly in recent months, adding $7 per ounce to our all-in sustaining costs compared to the previous quarter and over $15 per ounce compared to the previous year. We are also keeping a close eye and working hard to reduce voluntary attrition rates across our global business and halt labor markets, particularly in Canada and Australia, by creating an unprecedented labor shortage impacting productivity. These inflation trends may show up in future contract renewals and we expect that we could start seeing additional impacts as early as the fourth quarter, and while it is difficult to predict whether these trends will persist for the long term, I am confident that our scale, strong partnerships, and proven operating model positions Newmont to secure the most competitive supply contracts and limit the impacts on productivity and costs. Turning to our regional updates, starting with South America. Merian remains a strong performer in the South American region and is celebrating the 5th anniversary since declaring commercial production in October 2016. The site continues to utilize an ore blending strategy to optimize mill performance, helping to offset unplanned mill maintenance and minor delays from heavy rain at the start of the quarter. Additionally, Merian delivered higher tonnes mined and grade processed, and we expect this trend to continue for the remainder of the year and into 2022. Cerro Negro continues to improve productivity and performance, significantly increasing tonnes mined and processed in each quarter. The site team is managing the impacts from the pandemic as well as possible, and I am proud of the mitigation efforts, shift change optimization, and overall efficiency improvements delivered to help offset disruptions from earlier in the year. Given the effects of the pandemic, the site has delivered lower development rates in 2021, limiting access to higher grade ore and reducing production in the fourth quarter and into 2022. Yet, despite challenges from the virus, the site continues to progress future organic growth projects, including the development of San Marcos and the expansion in the Eastern District, which have the potential to extend mine life beyond 2030. Yanacocha has also experienced continued challenges from the pandemic impacting productivity, mainly due to reduced labor availability. To offset these challenges, the sites implemented mine sequencing changes, focusing on higher grades, efficient haul truck routes, and optimal ore placement on the leach pads. As a result, Yanacocha delivered high grade of ore and improved recovery from the leach pads. As discussed in our third quarter 10-Q, we continue to progress detailed study work to further define water management requirements, along with other closure activities, and we will provide an update on this with the fourth quarter result. As Tom mentioned, we're progressing the Yanacocha Sulfides. A project with the potential to extend mine life at this cornerstone asset well beyond 2040. Turning to our North American region. At our Canadian operations, Musselwhite, Eleonore, and Porcupine, we continue to be impacted by COVID absenteeism and a tightening of the Canadian labor market, and we expect these sites to be at the low end or below our annual production guidance ranges. We expect these labor trends to continue into 2022, with the effects having been particularly impactful at Musselwhite and Eleonore as labor shortages and access to specialized services has resulted in lower tonnes mined and processed and planned. Porcupine delivered higher tonnes mined from the Hollinger open pit, helping to balance the impact of higher than expected levels of graphite in the oil plant underground, which resulted in drilling delays, and as a consequence, resulted in less high grade ore being mined from the underground. I visited our Canadian operations last month, and I'm pleased to report that we are making a lot of positive inroads at Musselwhite, Eleonore, and Porcupine to increase development rates through the use of jumbos and tele-remote loaders in driving productivity hard through the execution of the suite of our full potential initiatives. With the full support of our subject matter experts deployed to these sites, these initiatives will improve efficiency and production. Moving to CC&V, the mine experienced lower grades and recovery in the third quarter. However, higher tonnes mined and changes to mine sequencing during the third quarter are expected to increase leach pad production in the fourth quarter and into 2022. Finally, Penasquito delivered another strong performance in the third quarter due to higher tonnes mined and processed, in addition to strong recovery rates from a number of full potential improvements. Since acquisition, Penasquito has delivered over $375 million in free cash flow improvements, with more than 80% of this value delivered from mining and processing improvements, which continued to generate value today and will do so well into the future. Shifting to Australia. Tanami delivered solid performance in the third quarter as higher grades helped to offset lower tonnes mined and processed as a consequence of the COVID-related care maintenance period in late June and early July. Although this period has reduced the site's full year production by approximately 40,000 ounces, Tanami is fully operational, performing very well, and is fully expected to deliver a strong finish to the year. In addition, the team further advanced Tanami Expansion II, and during the third quarter, we progressed the construction of the head frame and have now completed nearly 70% of the reaming of the nearly 1-mile deep shaft, remaining on track to deliver significant ounce, cost, and efficiency improvements in the first half of 2024. As Tom mentioned, Boddington experienced heavy rainfall in the third quarter, impacting the ramp-up of autonomous haulage and reducing tonnes mined. I'm pleased to share that Boddington continues to achieve superior mill performance, reaching nearly 11 million tonnes processed during the third quarter. We are also proud to deliver the gold industry's first autonomous haul truck fleet, the first of its kind in our sector. I'd like to thank our team and our partners at Caterpillar for their ongoing partnership, dedication, and drive as Boddington continues to ramp up the truck fleet to full productivity and to fine-tune the technology for a very productive operation in a deep open pit mine. Delivering this project on time and on budget during a global pandemic is an enormous accomplishment, leveraging Newmont's scale, technical expertise, and partnerships to manufacture, deliver, assemble, commission, and operate a fleet of 36 autonomous trucks in less than 18 months. As we look ahead, we expect to reach improved grades and achieve higher tonnes mined, due in part to the efficiencies from autonomous haulage, increasing production in the fourth quarter and into 2022. Finally, turning to Africa. A team delivered another consistent performance despite very heavy rainfall in the third quarter, as higher throughput and strong recoveries helped to offset unplanned mill and equipment maintenance. The site is well-positioned to reach higher grades and deliver its highest production of the year during the fourth quarter. Ahafo delivered a very strong third quarter. This higher tonnage mine for the Subika open pit and improved mill performance helped to offset challenges with haul truck availability at our underground operation. At Subika, we continue to progress the development of our new underground mining method, sublevel shrinkage, and we expect to reach full production by year-end as planned, improving grade and underground tonnes mined. In addition, the team continues to advance Ahafo North. We have begun mobilizing key personnel, and I'm pleased to say that engineering is approximately 80% complete. We continue to engage with local communities and regulators to ensure a mutually beneficial path forward as we develop this prolific orebody and create the next generation of mining in Ghana. With that, I'll turn it over to Nancy on the next slide.
Nancy Buese: Thanks, Rob. Through the strength of our assets and integrated operating model, Newmont is in the best financial position in its 100-year history, building long-term value with the most disciplined and balanced approach to capital allocation in the industry. Let's take a look at the financial highlights. In the third quarter, Newmont delivered $2.9 billion in revenue at an average realized gold price of $1,778 per ounce. Adjusted Net Income of $483 million or $0.60 per diluted share. Adjusted EBITDA of over $1.3 billion, a decrease from the prior year's quarter due to lower gold prices, lower sales volumes, and cost pressures stemming from the global pandemic, and strong free cash flow of $735 million of which 97% is attributable to Newmont. Although quarterly free cash flow is lower than our record performance last year, we achieved a 27% improvement compared to the second quarter. Our unmatched cash flow generation allows Newmont to provide superior shareholder return, largely through our industry-leading dividend framework. This week, we declared a regular quarterly dividend of $0.55 per share, an increase of 38% over the prior year and consistent with our last three quarters. With a yield of approximately 4%, our regular dividend is the highest in the gold industry, placing Newmont among the top 10% of the S&P's large-cap dividend payers. Third quarter GAAP net loss from continuing operations was $8 million or $0.01 per share.  Adjustments included $0.46 related to a loss recognized on the pending sale of the Conga mill assets, currently in care and maintenance in Peru, The sale of these assets reduce the storage costs while we maintain long-term optionality around the future development of the project. Adjustments also include $0.12 related to unrealized mark-to-market losses on equity investments, $0.10 related to reclamation and remediation adjustments at historical mining sites, $0.08 related to tax adjustments and valuation allowance, and $0.01 of other charges. Taking these adjustments into account, we reported third quarter adjusted net income of $0.60 per diluted shares. As a reminder, due to our status as a U.S. GAAP filer, our adjustments to net income do not include $23 million of incremental costs incurred this quarter as a result of the COVID pandemic. Adjusting for these costs would have resulted in approximately $0.03 of additional net income per share, and we expect these costs to continue throughout the year as we prioritize the health and safety of our workforce and local community. Newmont's dividend framework is based on our unmatched ability to generate attributable free cash flow. For every $100 increase in gold prices above our base assumption of $1200, Newmont delivers $400 million of incremental attributable free cash flow per year. Newmont is the only Company in the gold mining industry with the ability to generate these levels of attributable free cash flow. As Tom mentioned, we announced our dividend framework one year ago, providing shareholders with a stable base annualized dividend of $1 per share and the potential to receive between 40% and 60% of the incremental attributable free cash flow generated above the $1200 gold price. This framework provides stable and predictable industry-leading returns for our shareholders and demonstrates our confidence in our long-term outlook and our ability to maintain capital discipline. The third quarter dividend declared was consistent with our second quarter, calibrated at $1,800 gold price assumption, and 40% distribution, and incremental free cash flow. We continue to review our dividend on a quarterly basis with our Board, evaluating our operational and financial performance and outlook over a long period of time. Our capital allocation priorities remain clear. To reinvest in our business through exploration in organic growth projects, to maintain financial strength and optionality on our balance sheet, and to provide industry-leading returns to shareholders. Throughout the year, we delivered on each of these priorities by progressing our profitable reinvestment in the business, particularly with the advancement of the Tanami expansion, Ahafo North, and Yanacocha Sulfides. Delivering the first autonomous haulage fleet in the gold mining industry, improving safety and productivity at Boddington, completing the GT Gold transaction in May of this year, returning more than $1.3 billion to shareholders per dividends and nearly $250 million through opportunistic share buybacks, and maintaining a strong balance sheet with $7.6 billion in liquidity and a net debt-to-EBITDA ratio of 0.2 times, preserving Newmont's financial strength and flexibility to sustain the business across price [Indiscernible] with one of the industry's lowest weighted average cost of debt at 4.3%. As we look ahead, we are confident in our ability to deliver on our disciplined capital allocation priorities, creating long-term value for the business, and maintaining our position as the world's leading gold Company. With that, I'll hand it back to Tom to wrap up.
Tom Palmer: Thanks, Nancy. Newmont has an unmatched portfolio of world-class long-life operations and an organic project pipeline that is the best in the industry. While we and, the broader mining industry continue to face a range of challenges brought forth by this global pandemic, I am confident that our key strategic focus, proven operating model, superior execution, and leading ESG practices has positioned Newmont to remain the world's leading gold Company and continue to deliver long-term value to all of our stakeholders. With that, I'll turn it over to the operator to open the line for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Fahad Tariq of Credit Suisse. Please go ahead.
Fahad Tariq: Hi. Good morning. Thanks for taking my question. Maybe, first on Slide 11 on the North American operations. Can you talk a little bit about what steps are being taken to address the absenteeism at Musselwhite and Eleonore? As far as I can tell, some of your Canadian competitors aren't facing similar issues. I'm just curious, what exactly is happening there and what steps are being taken? Thanks.
Tom Palmer: Thanks, Fahad, and good morning. I'll pass the question across to Rob. We're seeing a combination of two things that I think Rob can expand on in terms of actions we're taking. Voluntary attrition, particularly at the Company, on the fly in, fly out site. So still at levels that you typically expect in a FIFO site, the low teens, 12%, 13%. What we're seeing on top of that is the compounding absenteeism associated with COVID. So you can get 10% to 15% absenteeism. On top of that where people are unable to attend work because of COVID-related absences. But that sits behind the number, two of our three sites are FIFO sites, and I'll let Rob to talk to some of the actions we're taking to mitigate and control that trend.
Rob Atkinson: Thanks Tom, and Fahad, the other thing I'd just mention to build on what Tom said, to certainly [Indiscernible] there were points in the third quarter were some of the highest infection rates of COVID in Canada as well, and in particular, at Musselwhite, we were up to 15% absenteeism because of what Tom spoke about. We've taken the basic steps where every person who's absent is being case-managed, very high profile in terms of who's at work, who's not, the reasons why, and the follow-up and the necessary management there. There's also in terms of recruitment, we've got a very focused team, dedicated team just on the Canadian sign market to make sure that we are something around employment as quickly as possible, try and bring new employees and onboarding them very, very quickly. But certainly, it boils into the basics as the vaccination rates go up, as the controls enter and really doing the basics of managing well. If there are people that we're seeing regularly off, they're being managed very, very closely. But, there's nothing, no rocket science, it's really just doing the basics very, very well.
Fahad Tariq: Okay, great, and then maybe just switching gears to Ahafo. I don't think the guidance changed for the full year, so it implies a really high production rate in Q4. Rob, maybe if you could just speak to that. Is that the expectation?
Tom Palmer: Fahad, I'll pick that up and again throw across to Rob. But we are certainly is going to see a strong fourth quarter out of Ahafo compared to the first three quarters, which were pretty consistent. Rob will continue to talk to the drivers behind that strong fourth quarter.
Rob Atkinson: Certainly, that underground continues to come along very well and we did our first firing earlier in the year for the sublevel shrinkage, so we are seeing higher grade come through there, and the performance of Ahafo in generally in the open pit and in the middle has been very positive. I think, it's, again, just the factors of the decision we made around the underground, really starting to bear fruit as well as good productivity elsewhere in the operation.
Fahad Tariq: Okay, great. That's it for me. Thank you.
Tom Palmer: Thanks, Fahad.
Operator: The next question comes from Michael Glick of JPMorgan. Please go ahead.
Michael Glick: Hi. On costs, could you walk us through what you're currently seeing down to specific items such as consumables and other raw materials? How you're working to mitigate inflation from the CapEx and OpEx perspective going forward? Then kind of based on what you're seeing in 4Q, how should the cost trajectory look into 2022?
Tom Palmer: Thanks, Michael. I'll kick-off, get Rob to provide some color. I'll also ask Dean Gehring, who is our Chief Technology Officer and is accountable for our global supply chain to make some comments on trends as well. We've been flagging at the end of last quarter that we're seeing cost inflation trends are starting to see some of those flow through now, and it's part of our fourth quarter story, and we're certainly seeing those flowing into at least 2022, and that was part of our comments about how we're starting to see 2022 shape up. So 2022 is, I think, going to be for the mining industry, a cost escalation story. We've got pretty consistent, little, on improvement on production. So there's certainly a cost escalation story. We're seeing it still upwards of around 5% when you aggregate it all together across materials, energy, and labor. But we are seeing some pretty significant movements within that aggregated number. In fact, in some instances, we're seeing some improved costs, adversely in Australia, CAT parts, Caterpillar parts are coming in cheaper as a consequence of exchange rates and the like. But we are seeing some significant trends, as I say, at this stage, aggregated at around the 5% mark. Rob, if you want to add any color to that? Then, Dean, if you can build on them.
Rob Atkinson: Thanks, Tom, and I may just talk about what Michael asked in terms of what are we doing to offset it and before handing over to Dean around the prices and the inflation that, Michael, very much the full potential is what we're focused on is at all operations. They've got a suite of projects, which not only assist productivity, but it's also about cost reduction, and the big movers that we're focused on is things at Penasquito, including the recovery, which we're seeing significant benefits as a result of that. In the Canadian sites, we've moved across to jumbo rigs instead of McClean bolters and tele-remote loaders, which is improving our productivity significantly, and even doing more of the basics at Cerro Negro, where we've just reduced further equipment, we took a further 15 pieces of HME dealers in the third quarter to make sure that we're running that fleets as efficiently as possible and as such, just managing the consumables that we do need. But the full potential is the way in which we're managing. But Dean, do you want to talk inflation?
Dean Gehring: Yes. Thanks, Rob. One of the big areas where we see probably the largest variability is actually in freight, but we do unpack that a bit, freight makes up about 2.5% to 5% of all of our landed costs for major consumables. So you need to keep that in perspective. But one of the things we're doing to mitigate that as we're looking for opportunities, using the ability of our global supply chain, looking at our operations in a global sense, seeing what we can do to maximize the amount of freight we put on either ships or containers, so we get the best pricing possible. The other thing that we do is along the lines of mitigation is we actually put in place pricing mechanism that are transparent, and they're really based largely on the input pricing of a lot of the commodities that we have, and so that helps to actually soften the impact of inflation that we see.
Michael Glick: Then could you talk about your view on industry consolidation? Just all the things you just mentioned would seem to point to more scale as the more effective way to operate in this environment.
Tom Palmer: Thanks, Michael. Certainly, I see in our industry with the number of publicly listed companies in the gold space is order of magnitude more than any other commodity. That in itself says there's an opportunity for consolidation in terms of the additional [Indiscernible] that you have. The elevated gold prices, I think, probably hold off a lot of that consolidation. I think I don't believe that it will be necessarily some of these near to medium-term cost escalation that will drive consolidation. I believe that the issue around the work that needs to take place for all mining companies to achieve 2030 carbon reduction targets, greenhouse gas reduction targets, and ambitions to achieve net zero by 2050, which we're clearly seeing many governments around the world sign up to in order to achieve those targets, you will need scale and you will need life, and over the course of this decade, we will see consolidation driven by that imperative. So I predict climate change will be the driver rather than some near-term COVID related escalation.
Michael Glick: Understood. Thank you very much.
Rob Atkinson: Thanks, Michael.
Operator: The next question comes from Greg Barnes of TD Securities. Please go ahead.
Greg Barnes: Thank you. Tom, I just want to understand the deployment of the autonomous truck fleet at Boddington. I know you did it on time on budget, but you seem to be having some challenges to get it working the way you want it to work. What are those challenges and what are you doing to address it?
Tom Palmer: Thanks, Greg, and good morning. The key challenge behind commissioning the autonomous fleet, and I'll get Rob to provide some more color, was associated with the significant whether that you had in that mine at the time you're trying to commission the trucks. We're through and now got the truck's commission and some of those tuning issues in place. As I said, I'll pass across the Rob to give you some color on how that fleet is performing now that we've had about a month under our belt of fully autonomous operation in that mine, which is one of the factors when you can actually move to fully autonomous and you're not managing the interaction with vehicles that have people inside of them. As Rob provides you some detail, it's in the context of whether it's continued in Southwestern Australia. In fact, October, not even the end of the month, is already the wettest month since records began in that part of the world. So in that context, I'll get Rob to give you some color on how autonomous haulage is performing.
Rob Atkinson: Thanks, Tom, and thanks for the question, Greg. Certainly, with every passing week, the autonomous haulage is getting more and more productive, and just to tell a little bit of the story is that, since we initiated zero injuries, we've now done over 600,000 kilometers. Were up about 21 million tonnes, and we've connected all the machines. So there's an awful lot of good work, which is going on. At the start of September, we were around about 53% EU, which is one of the critical metrics of making sure that the trucks are utilized as much as possible. We're now up above the 61% over the last week, and we've actually hit shift by shift up around the 68%, 69% a year. Now, we've got to achieve that on a consistent basis. But one of the critical things, particularly important for next year is that next year's tonnage is roughly averaging about a 135,000 tonnes out of the pit. We've already achieved 160,000 [Indiscernible] . So while we've still got things, just a high note and to fine tune, as Tom said, whether it be some road widths, whether it's the road conditions as a result of the wet weather, etc. We are very pleased about how things are progressing. We've got terrific support from Caterpillar. We've got a number of people from Caterpillar dedicated on the site. So certainly, we think things are progressing well, but the rain plays havoc. I'll be honest. But in term of commissioning, we've still got to remember, it's been the quickest commissioning of any EHS system that's being achieved to date, and so far, that every passing week, as I said, things get better.
Tom Palmer: Greg, those expect tonnes are presenting to the mill, the mill is running exceptionally well, and it's running at record rates. So we are confident around the fourth quarter, particularly as we enter into the next year for that truck fleet to deliver would expect tonnes in our mills are performing well.
Greg Barnes: I'm not sure what 68% EU means, Rob.
Rob Atkinson: Sorry, Greg. Basically, it's essentially seeing how often is your truck running, doing productive work, and typically, one of the key reasons that we went to autonomous is that if you've got humans operating them, typically, you got lunch delays, you get toilet breaks, you get things like that, and the EU is one of the key metrics.
Tom Palmer: The EU is effective utilization, Greg.
Greg Barnes: Okay, so what's the targeted EU for the autonomous fleet versus a human fleet, I guess?
Rob Atkinson: The target that we justify it on is 68%, and certainly, where we will be planning is certainly trying to achieve a lot higher than that.
Greg Barnes: So you already achieved the targeted rate then?
Rob Atkinson: No. We've achieved that intra-shift kind of levels, where we have just been running the average is around about that 60%, 61%. So as I said, with each passing shift, we're getting further insights, further improvements. I'm very, very confident we'll be up there and hitting those targets day-in, day-out next year.
Greg Barnes: Okay, great. Thank you.
Tom Palmer: Thanks, Greg.
Operator: The next question comes from Josh Wolfson of RBC Capital Markets. Please go ahead.
Josh Wolfson: Thank you very much for taking my questions. I appreciate the disclosure for the 2022 preview on the expectations. Looking at the existing 5 year guidance, there was some expectation for cost reduction into 2022. There's a big step down there previously, and then some reduction expected thereafter in future years 2023 and '24 as well. When you look at the trends that we're seeing in the sector, should we still expect that kind of trajectory longer term? Or is there a potential that some of the operating improvements are going to be offset by these trends just to mean they continue?
Tom Palmer: Thanks, Josh, and good morning. You're certainly going to see costs at Newmont and in the industry all about it because of these escalation pressures that we've been talking about, the inflation pressures. But the cost improvement is still coming at Newmont. Because it's associated with the reinvestment we're making back in our business. So we'll continue to see improvements out of Boddington with autonomous haulage as it's now being commissioned, as Rob was just talking about how you can tune a very predictable autonomous system because of the automation now of the fleet. We'll see improvements from the commissioning of the shaft at Tanami. We can bring ore at surface much more efficiently. The underground mining method at Subika, the near-mine Ahafo North, and Yanacocha Sulfides are all investments that we're making that will deliver improved costs over the guidance for five-plus year period. So those investments being made, so improvement in costs will come to those investments because we'll be delivering and producing ounces at much better margins. What we're seeing as a consequence of COVID is those three key development projects, Tanami 2, Ahafo North, and Yanacocha Sulfides have been delayed and sitting on top of each other some more. So we will see through '22 and '23 a significant development capital spend. In fact, it will be a development capital spend that we haven't executed at Newmont in a generation, so it's a significant reinvestment in our business, and we really start to see the benefit from that investment later part of '23, into '24, '25, '26, and '27 with some of those projects. A slight delay in terms of when we see those better margin ounces coming through and some stacking up of that development capital as a consequence of managing around COVID.
Josh Wolfson: Okay, thank you, and then on the capital numbers. Similarly, there's been a number of changes for some of the existing projects and sequencing, obviously, with Yanacocha Sulfides, how should we be thinking about that? It sounds like the baseline sustaining capital numbers maybe should be higher longer term? Is that reasonable to assume?
Tom Palmer: Josh, sustaining capital for a portfolio of our size is really about $1 billion. It might be $951 million a year, $1.50 billion another year. As I look at our business plan, it's a pretty steady spend for a portfolio of our size around the even $1 billion. For the development capital, Mike and Rob just can provide a little bit more color. But for both Tanami Expansion 2 and Ahafo North, some of the factors that impact cost wave got locked in. I'll get Rob to cover those two. So Yanacocha Sulfides, obviously, we delayed the full time due to COVID through the second half of next year. We're continuing to do all the detailed engineering. We're continuing to do the critical path to procurement, which is locking in factory slots for oxygen plants and specialized steel, for the clothes and the likes. So we are de-risking Yanacocha Sulfides in this environment. Then Rob made some color on Tanami 2 and Ahafo North in terms of cost.
Rob Atkinson: Thanks so much, Tom. In terms of Tanami 2, the engineering is progressing very well, and it's at that high level where you've got a high degree of confidence around what you need to do. The vast majority of the cost at Tanami is around the reaming and the outfitting of the shafts. So we're certainly confident at this point in time that that work is contained. The biggest challenge we've got is just around the labor rates, and again, the post-COVID world in Australia in terms of orders, how that's managed. But that's where the majority of costs are, and we've got a good partner in [Indiscernible] , and as I said, the engineering being so well progressed is so key. At Ahafo North, we pre-ordered all the equipment and so that equipment is making its way over or being manufactured as we speak. The engineering again was at a very high level, and we've got a little bit of contingency there, but we're not seeing anything at the moment that's overly worrying us. They are apart from what Dean said in terms of potential delays and the offset nature of the three business. But all in all, because the engineering is so well progressed, I think we've got a high degree of confidence.
Josh Wolfson: Thank you very much.
Tom Palmer: Thanks, Josh.
Operator: The next question comes from Tanya Jakusconek of Scotiabank. Please go ahead.
Tanya Jakusconek: Good morning, everyone. Thank you so much for taking my questions. Rob, can I just keep you on, again, just to clarify on Boddington, and Greg asked it, and I didn't know what that EU was either, but wanted to just make sure I understood that with the rain hopefully behind us, keeping the roads clear and clean, these automated trucks are performing as you expect, because they keep stopping. So I'm just wondering if we've taken out the issues than just stopping like we've cleaned it out with Caterpillar?
Rob Atkinson: Yes, Tanya, in terms of the communication, those are things which we have found out, there's going to be time to time where you do get a communication issue for very general reasons and the system is built, but if there is a communication issue, things stop. We've certainly manage to do that very well, especially the deep mine, that there's some new techniques being done compared to the program. But in terms of the roads, the feedback that I have had from the Boddington team, that the roads are in better shape than they've ever been, and certainly, these trucks are able to pick up an awful lot of detail, whether it be rusting, whether it'd be rocks coming into the road, whether it be wash-outs from burns, etc. So there is a huge amount of attention there and when I talk about road widths, the team has done an enormous amounts of work. But all in all, Tanya, that certainly, we are in good shape, the roads are in good shape, the technology is in good shape. The only thing that it still see is it's still raining, and that's something we'll continue to manage. But on the plus side, the experience we're getting here sets us up very well for wet seasons in the future.
Tom Palmer: So just building on that, Tanya, the fleet is performing at record levels or required levels, even during a wet October at Boddington. We're about to enter into summer in Western Australia, and you don't see a cloud in the sky from about November through to March, April, so the system is tuned and well set up to have a very solid run over the next six months and beyond.
Tanya Jakusconek: We're getting better grades on top of that, right?
Tom Palmer: Yes, we're sitting right on top of the higher grades in the South [Indiscernible] at Boddington.
Tanya Jakusconek: Maybe just still in Australia. Rob, on Tanami expansion, like you mentioned, that deferral of $150 million in capital and it has not impacted the timeline. Can you just share with us or more details on what exactly is being deferred? Should I take that $150 million and add it to the 2020 capital? Which I think Tom mentioned was going to be similar, like no change to CapEx for 2022. So maybe just some clarity there.
Rob Atkinson: In terms of the CapEx, Tanya, it's going to be spread over '22 and '23. It's not all going to come in '22, and in terms of the key work, it really is around completing the reaming and starting to outfit the shafts. So in terms of the schedule of that work, it's still very much on track. That capital will be spread over the next couple of years rather than just next year.
Tom Palmer: Tanya, to this broader question, our development capital spend will be similar levels to what we're currently guiding to '22 and '23, and what you'll see into '24 is a little bit of that, a little bit more capital in '24 as a consequence of the three key projects sitting on top of each other, there's a delay in Yanacocha Sulfides. So similar spend levels, a little bit more in 24.
Tanya Jakusconek: Okay. Great, that's helpful, and then, Tom, I'll have you on, just two questions for you. You mentioned supply chain disruptions. I'd like to get better clarity on what you're seeing, and that's the first question. The second question is, as we are seeing these inflationary pressures come through the cost structures, are we looking at you adjusting gold prices for your reserves and resources next year? Also, given the higher gold price, can we see you have a higher gold price for guidance for cost for next year?
Tom Palmer: Thanks Tanya. We will continue to try and do a long-term mine planning reserve and resources at $1200. That maintains a discipline in our strategic mine planning and ensuring that we're then making very conscious decisions if we want to try and cut off grades to bring certain [Indiscernible] . Strategic mine planning and acquisition of reserves or resources now change to the $1200, and yes, we will provide you cost guidance next year, at the $1800 gold price assumption, and as in the script, our all-in sustaining costs next year, assuming gold is at $1,800 is going to be pretty much the same number that you're seeing for this year as we start to pull together our plan. There's still a few moving parts. Nevada Gold Mines due to come in, but everything is direction according to similar levels to this year at $1,800 gold price. Drivers become more cost than production drivers as they have been for this year. Our gold production is sitting up around 5% more than this year. So if you want to put a pin on that number, it's probably going to be around 6.2 million ounces for next year. We will continue to provide a view of all-in sustaining cost at $1,200 gold revenue price. So we'll continue to provide that as a reference point in our guidance, but we will give you the $1,800, we'll assume $1,800 flat for the five years that we guide to and show you that cost profile. Dean or Mike, if you just to talk to Tanya's first part of the question around supply chain disruption and what we're seeing there.
Dean Gehring: Sure, Tom, thanks. Tanya, the main place that we're seeing this supply chain disruption is really on the logistics, the freight or shipping and what's driving that is availability on inland shipping and freight, it's just the availability of truck drivers. We're seeing that the manufacturers, the factories just kind of work their way through COVID. They're getting back up to production. But the market consensus is that we're still going to see this persistent pressure through the end of the year, largely driven by the availability of people to move the products around.
Tanya Jakusconek: Okay. Thank you for that. Thanks, Tom, I just wanted to make sure those costs were at $1,800 and not at $1,200, and then I have to adjust upwards. So thanks for the clarity.
Tom Palmer: Thanks, Tanya. Operator, for the people on the call, we'll keep going and take everyone's questions. If we've got the time available, we'll stay on the call as long as need be to answer questions. So operator, we're ready for the next one.
Operator: The next question comes from Anita Soni of CIBC World Markets. Please go ahead.
Anita Soni: Hi. So a couple of questions still remain. You said that the cash costs around $790 million and your prior guidance was $650 million to $750 million, right? Now you're saying, 6.2% as the production number. So you're kind of at the low end of your original guidance range on production. So I just want to build back that 5% escalation and how much additionally on the price change? Then just seeing it that gets you to that $790 million. So could you tell me how much the royalties would impact the terms in the gold price first?
Tom Palmer: So, Anita, just to make sure I've understood your question. So you're talking about 2022?
Anita Soni: Yes. I'm talking about 2022, and I'm just saying, I'm basically looking at the fact that you're talking about 5% escalation. I mean, that's what you keep coming on the cost side. But the midpoint of the old range, would have said, that's about $35 an ounce. So I guess we're not at the midpoint because we're not on midpoint on production. So I'd be at the higher end on that, and then just trying to build back the difference to try to get to the $790 million if there's some missing components that I don't have in getting to $790 million?
Tom Palmer: So you've got production impact, you've got an inflation impact of about 5%, and then you've got your taxes, production taxes and royalties. The combination of those three will bridge the gap between our $1,200 to our $1,800 number in 2022.
Anita Soni: Is the royalty impact about $15 to $20 per ounce?
Tom Palmer: No, more. At least 30.
Anita Soni: Okay. $30 per ounce, and then the $115 million Tanami deferral, you maintain the $2 to $2.2 million for 2022. I would've expected that, I guess, to go up if you're deferring to Tanami CapEx? Or is it just a matter that the net is being pushed out consistently, so the 2022 spend related to Tanami is being pushed into 2023 and perhaps some into 2024. Is that the way it works or is there some offset?
Tom Palmer: No, it's essentially that wave moving for Tanami from '21 into '22 and what's in '22 moving to '23, and then if you look at our overall development capital number, there's some Ahafo North numbers that we assumed in '21 but move into '22 and then pushes out into '23 and '24. Then Yanacocha Sulfides has a similar [Indiscernible] , it's a combination of the three with that spend moving around that ends up with some more issues when we guided, you'll see some more development capital in '24, but similar rates for the Newmont portfolio in '22 and '23.
Anita Soni: The new guide in December, it will continue to not include the Yanacocha Sulfides spend, because it hasn't really gotten full funds decision?
Tom Palmer: So the Yanacocha Sulfides spend is included in our current guidance. Yanacocha Sulfides spend with a delay in full funds approval to the second half of the year will be in our updated guidance in early December. The nature of the timing of that project is that when you look at a five-year view of our production, you're only going to see a very small number of the gold and copper coming into our production profile. We really get the benefit of that gold and copper at good prices in '27, '28, and beyond. So we're going to see the spend, but we're not going to see the benefit in our five-year guidance.
Anita Soni: So just to reiterate, the intense capital spend that you have in the next two years include Yanacocha Sulfides spend, the $2 billion number for the next few years?
Tom Palmer: Yes. Yes, it does.
Anita Soni: Okay. All right. Thank you. Sorry, and actually, probably to the point, the fall off in 2024, that also includes Yanacocha Sulfides spend?
Tom Palmer: Yes, that's right. So what you are seeing in our development capital spend over the five years in our current guidance includes the big ticket items of Tanami 2, Ahafo North, and Yanacocha Sulfides.
Anita Soni: Okay. Thank you.
Tom Palmer: Thanks, Anita.
Operator: The next question comes from Brian MacArthur of Raymond James. Please go ahead.
Brian MacArthur: Hi, good morning. I think you just answered my question there, but one other thing I just wanted to follow-up on is Conga. So I have three questions. What triggered this to do this now where there's anything to do with changing government or anything? Second, total book value of $570 million for $68 million, and you talked about equipment and assets. So I assume $68 million is equipment and assets is something else. But any clarity on this? I'm just trying to figure out what's in there. Then three, there's still $900 million on the books. Is there stuff there that you can use in Yanacocha Sulfides, other equipment, or stuff? I'm just trying to figure out exactly what that transaction is.
Tom Palmer: Thanks, Brian, and I'll take your first and third, and I'll ask Nancy to talk to the book value. So the $900 million that's there is the deposit, it's the reserves, value of that, and then we constructed a quite significant dam. So that infrastructure is still there and valued. Of course, we had a mine there once upon a time, so we know the orebody. We're going to build a mine there once upon a time to know the orebody very well. [Indiscernible] for care and maintenance to keep the mill and all its bits and pieces in good condition. It's a very large mill. In fact, at the time, it was the largest mill in the world, and so it's quite unique in terms of who would buy that piece of equipment and use it. So when we had an approach from somebody to buy that equipment because they had a place to sell it, then, you take the opportunity to sell that mill. So the timing really came from someone coming to knock on our door to say, we're interested in taking that mill off your hands. We saved the care and maintenance costs and in any future development of Conga, which is still some time off. The flow sheet will be very, very different. It wouldn't involve a flow sheet with a very large mill. So the trigger was an approach by somebody who's prepared to take quite a unique piece of equipment and for us to get some money for it. Nancy, do you want to talk to the book value question?
Nancy Buese: Yes. The carrying value really just represents what was on the book minus depreciation over the period of time that we've held it, and so the loss just triggered by the actual sale, but truly nothing more than that. It's been there for quite some time.
Brian MacArthur: Great. Thank you very much.
Tom Palmer: Thanks, Brian.
Operator: The next question comes from Danielle Chigumira of Bernstein. Please go ahead.
Danielle Chigumira: Good morning, and thanks for taking my question. Another follow-up on the Tanami expansion. I just wanted to get some clarity on the fact that we've delayed $150 million of CapEx, but kept the overall CapEx budget flat versus the previous guidance. So what gives you confidence that the overall budget won't inflate, given the tightness that we're seeing in the labor markets and so on? That's the first question.
Tom Palmer: Thanks, Danielle, and I'll kick off and pass across to Rob. The nature of where we're at with the Tanami expansion project having largely well about 70% sunk the shaft now, you're really in a very serial process with a dedicated contractor to then line that shaft. So I'd say it's just a serious process that takes quite a number of months to concrete line the wall of the shaft and put the various supporting infrastructure around it. So we're very clear, given the amount of progress we've made on the pathway in front of us, and we've got the best contractor in the business mobilized to site to do that work, and because we've got that clarity in terms of your contracted clarity in terms of the amount of work we've done on the schedule in front of us, we have confidence around both our schedule and spend. But Rob, do you want to put a little bit of color on that?
Rob Atkinson: In this building a little bit more on that, Danielle, Tanami 2, you will see in the presentation the picture of a head frame and that's come along well. The refrigeration has progressed well. We finished the crusher chamber on the ground. The power station extension has continued, the box cuts have been done. So as Tom said, we haven't got anything to start, and really, it is making sure that we maintain and keep hold of the expertise that we need to do the reaming and to do that shaft lining. Those are the key thing.
Tom Palmer: Danielle, the risk then with that nature of work in front of you is being able to get people to the mine site to do the work, and as vaccination rates in Australia are now up in the mid-70% and very much on a trajectory to earlier the new year to be 90+% across the whole of the country. Some of the challenges of being able to move people around the country through the state boarders will drop away in the first quarter, and we'll have a clear run through to be able to have basically the [Indiscernible] on-site to do the work.
Danielle Chigumira: Thank you. That's very useful, and on a completely different track. For Penasquito, have you seen any impact of the new labor law introduced in September in terms of limiting use of contractors, does that impact you at all?
Tom Palmer: None whatsoever, Danielle, and we fully comply with those legal requirements, but no impact, in fact, Penasquito is running superb. It's really hitting its strengths.
Danielle Chigumira: Thank you. That's useful.
Tom Palmer: Thanks, Danielle.
Operator: The next question comes from Adam Josephson of KeyBanc. Please go ahead.
Adam Josephson: Good morning, everyone. Thanks very much for taking my questions. I appreciate you doing so. Tom, on your production comments for next year, given what you've experienced this year, what gives you confidence in that 5% growth forecast for next year, and along somewhat similar lines, how do you feel about the 2023 outlook that you gave last December in light of what you've seen thus far this year?
Tom Palmer: Thanks, Adam. Very confident in the number that we're looking at for next year. I look at that number and we have a number of world-class assets that make up that production number. So in Australia, Boddington and Tanami are important contributors. Australia is just about through the worst of all the constraints they've had around COVID restrictions, hot label market, so it's more cost issue, a autonomous haul had just in running at Boddington, which is the largest area for labor at Boddington. If you didn't have autonomous all trucks, we've just mitigated that area with that fleet. So that production number underpinned by those two big assets in Australia, very confident. Ahafo South in Ghana, underground mining method coming on stream as we speak. It's set up for a very solid year, very much rolling out the vaccines now in Ghana, as I mentioned in my comments, 100,000 vaccines that we're looking to distribute not only to our workforce, but their families and the communities in which we live and work. Penasquito, as I just mentioned into Danielle's question, it is really hitting its straps and running well. That is the engine room of Newmont, and then Nevada Gold Mines, Carlin, Cortez and Turquoise Ridge, fully expect that those three big world-class assets, along with Pueblo Viejo, will continue to deliver on their commitments. A little color on Pueblo Viejo. We had a few of our team down there in the last couple of weeks. Their vaccination rates are essentially 100%. So the ability for that operation, the Dominican Republic to continue to run and run well. So Newmont will deliver on its production outlook. If those assets that I mentioned deliver on their commitments, and I'm confident that those assets will. In terms to 2023, you will have an impact. COVID is going to be with us for awhile. So you will have an impact where we've had a couple of years where you haven't been able to do the development rates that you would have ideally liked to as you're managing health and safety and all the other controls. So that will have a flow on impact through 2022 and 2023, as well as some of the delays on our development capital spend, and we need to get some of the ounces flowing through from those projects. So I think you'll see a COVID-related impact on '22 and '23. So it's fairly flat, and then you'll get some benefits coming more in the '24 and '25. So a little bit of delay as a result of both COVID. COVID impacts both operating and what you're doing to develop in your mines, as well as your development in key growth capital spend.
Adam Josephson: I appreciate that. On the inflation topic, you said, I think on the last call that you expected that the inflation of the 5-ish percent to run through at least the end of next year. I'm just wondering, based on your experience in previous cycles, how long have these inflation cycles typically lasted? What do you expect? I mean, at what point consequently would you expect this inflation is start to abate? Is it just a situation of high prices of a cure for high prices and eventually, these high prices are going to choke off some economic growth? Or how are you thinking along those lines?
Tom Palmer: Thanks, Adam. I think the world is in uncharted territory in terms of these inflation. So I don't believe it's structural. I believe it will be cyclical, but I think it will be a longer cycle than normal, and COVID is going to dictate that cycle. So certainly seeing all the indicators or so we're going to have elevated pricing, and that's going to be with us through 2022. I'd say too early to predict to see whether that cycle then comes down again in '23 or stays there. We'll put a lot of attention into our 2022 cost guidance to include inflation, and then typically, we don't tend to try and predict that far out into the future with our cost numbers. So we would talk to our '23 and beyond numbers and not fully having accommodated inflation, we'll just do it the next year. It's very hard to predict that.
Adam Josephson: I really appreciate that, Tom. Thank you.
Tom Palmer: Thanks, Adam.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Tom Palmer for closing remarks.
Tom Palmer: Thank you, operator, and thank you, everyone, for joining us, and please, as the world is starting to open up, please take care of your health and safety and the safety of your loved ones, particularly as we enter into the winter months in the Northern Hemisphere. But thank you for your time, everyone.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.